Operator: Good afternoon. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Western Midstream Partners Fourth Quarter and Full Year 2024 Earnings Conference Call. All lines have been placed on-mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Daniel Jenkins, Director of Investor Relations. Please go ahead.
Daniel Jenkins: Thank you. I'm glad you could join us today for Western Midstream's fourth quarter 2024 conference call. I'd like to remind you that today's call, the accompanying slide deck and last night's earnings releases contain important disclosures regarding forward-looking statements and non-GAAP reconciliations. Please reference Western Midstream's most recent Form 10-K and other public filings for a description of risk factors that could cause actual results to differ materially from what we discuss today. Relevant reference materials are posted on our website. I'm pleased to inform you that the Western Midstream Partners K-1 will be available via our website beginning Friday, March 7. Hard copies will be mailed out the following week. With me today are Oscar Brown, our Chief Executive Officer, Danny Holderman, our Chief Operating Officer, Kristen Shults, our Chief Financial Officer and Jon VandenBrand, our SVP of Commercial. I will now turn the call over to Oscar.
Oscar Brown: Thank you, Daniel, and good afternoon, everyone. Before we discuss our fourth quarter and full year 2024 operational and financial results, I'm excited to announce a large expansion of our produced water gathering and disposal infrastructure in the Delaware Basin to support continued upstream development over the long-term. WES sanctioned the Pathfinder Pipeline, a 30 inches long haul pipeline that will be able to transport over 800,000 barrels a day of produced water to our existing and soon to be constructed facilities in Eastern Loving County. This midstream project is anchored by a new long-term produced water agreement with Occidental Petroleum to provide up to 280,000 barrels per day of firm gathering and transportation capacity and up to 220,000 barrels per day of firm disposal capacity supported by corresponding minimum volume commitments. I am also pleased to announce that we have executed amendments to our legacy produced water agreements with Oxy in the Delaware Basin. These new amendments retain the cost of service and fixed fee components of the original agreements and better support our customers' long-term development plans. We will continue to provide our largest customer with excellent customer service and firm flow assurance in exchange for a 3.4 year extension to the original produced water gathering agreement in the Delaware Basin. These agreements demonstrate the continued strength of our relationship with Oxy and further provide support for sustainable distribution growth over the coming years. As operators within the Permian Basin are well aware, oil and gas production generates a tremendous amount of produced water and managing it presents significant challenges to the long term development of the basin. WES is excited to provide an innovative midstream solution via the Pathfinder pipeline that will facilitate the transportation of produced water away from areas experiencing high intensity water disposal to more strategic areas with excess pore space that can handle responsible, ratable water disposal over the long term in Eastern Loving County. This solution provides us with a platform asset that will enhance our customers' long-term flow assurance and create new optionality as the basin matures over time. Pathfinder will enhance our existing water assets, de-risk our crude oil and natural gas businesses, ensure we are attractively positioned to take on growth opportunities as produced water volumes continue to grow in line with all of our customers' development activities. Kristen and Jon will provide more details on our expansion plan shortly. However, I would like to stress that this project advances our strategy of prioritizing capital efficient organic growth that ultimately generates strong returns for WES unitholders and is in line with our continued focus of sustaining and growing the base distribution over time. Now turning to our 2024 operational and financial results. WES had another very successful and pivotal year, which includes the following achievements. Double-digit and record throughput growth across all three product lines the commencement of operations at Mentone Train III in March 2024 the successful integration of Meritage Midstream and the completion of several non-core asset sales for $795 million of total consideration, the announcement of numerous commercial agreements in our core operating basins and annual adjusted EBITDA and free cash flow growth of 13%, 37%, respectively. We also continued to execute on our capital allocation framework, which included paying out a total of $1.246 billion in base distributions. This record distribution payout included a 52% increase to the base distribution that commenced in the first quarter of 2024 and is 41% higher than pre COVID levels. WES now has the highest distribution yield amongst midstream company peers and relative to investment grade companies in the Russell 3000. Additionally, we will now be targeting a long-term annual distribution percentage growth rate of mid to low single-digits, which excludes potential increases in conjunction with future large organic growth projects or acquisitions. Furthermore, we achieved our year-end 2024 leverage threshold of approximately 3x earlier than initially anticipated, which puts our balance sheet in great position to continue pursuing organic growth opportunities and accretive bolt-on acquisitions. And finally, we are increasing our focus on productivity and efficiency to further improve our cost structure, which will better serve our customers, improving our competitiveness and thus increasing our chances of winning more commercial business and sanctioning more attractive organic growth projects such as Pathfinder. With that, I will turn the call over to our Chief Operating Officer, Danny Holderman, to discuss our operational performance in the fourth quarter.
Danny Holderman: Thank you, Oscar, and good afternoon, everyone. Our fourth quarter natural gas throughput increased by 4% on a sequential quarter basis as a result of strong growth from both the DJ and Delaware Basin. This performance resulted in our eighth consecutive quarter of record natural gas throughput in the Delaware Basin, and we achieved our highest throughput levels in the DJ Basin since becoming a standalone partnership. Our fourth quarter crude oil NGL's throughput increased by 6% on a sequential quarter basis, primarily due to strong customer activity levels in both the DJ and Delaware Basin. Our produced water experienced record throughput, increasing 8% on a sequential quarter basis due to strong producer activity levels and fewer volumes used for recycling purposes. Our fourth quarter per Mcf adjusted gross margin for our natural gas assets remained unchanged compared to the prior quarter and in line with our prior expectations. Going forward, we expect our first quarter per Mcf adjusted gross margin to be in-line with the fourth quarter. Our fourth quarter per barrel adjusted gross margin for our crude oil NGLs assets increased by $0.12 compared to the prior quarter, primarily due to a favorable revenue recognition cumulative adjustment recorded in the fourth quarter associated with higher cost of service rates at our DJ Basin oil system and the timing of distribution payments associated with our equity investment. We expect our first quarter per barrel adjusted gross margin to be in line with the fourth quarter. Our fourth quarter per barrel adjusted gross margin for our produced water assets remained unchanged compared to the prior quarter and in line with our prior expectations. We expect our first quarter per barrel adjusted gross margin to decrease slightly compared to the fourth quarter due to the new produced water amendment with Oxy and the cost of service rate redetermination, both of which became effective on January 1. Turning to our full-year results, average throughput across all three products increased by double-digits year-over-year, adjusting for the sale of several non-core assets that closed in the first half of the year. For full-year 2024, natural gas throughput averaged 5.1 billion cubic feet per day. This represents a 16% year-over-year increase, which excludes an average of approximately 38 million cubic feet per day and 120 million cubic feet per day of throughput in 2024 and 2023, respectively, associated with the sale of our Marcellus assets that closed early in the second quarter of 2024. Full-year 2024 crude oil and NGL's throughput averaged 530,000 barrels per day. This represents a 12% year-over-year increase, which excludes an average of approximately 23,000 barrels per day and 200,000 barrels per day of throughput in 2024 and 2023, respectively, associated with the sale of several equity investment assets that all closed late in the first quarter. Full year 2024 produced water throughput averaged 1.1 million barrels per day, an increase of 11% compared to full-year 2023. Turning our attention to 2025, we expect our portfolio wide average year-over-year throughput to increase by mid-single-digits percentage growth for both natural gas and produced water and low-single-digits percentage growth for crude oil and NGLs. Keep in mind, our throughput expectations exclude the volumes associated with the non-core asset sales that closed in early 2024 for year-over-year comparative purposes. In the Delaware Basin, we expect average year-over-year throughput to increase modestly for all three product lines and for the basin to continue being the main engine of throughput growth in 2025, primarily due to continued strong producer activity levels and a steady number of wells expected to come online throughout the year. As we have seen across the basin, several of our producers have been able to capitalize on operational and drilling efficiencies that enable them to complete more wells with fewer rigs. In the DJ Basin, we expect average year-over-year throughput to remain flat for natural gas and to be flat to slightly down for crude oil and NGLs based on current customer forecast. In 2024, the basin benefited from a full year's worth of increased rig activity that commenced in 2023 and increased on-load activity. As of our latest forecast, we expect the overall number of wells that come to market to decrease year-over-year, but we forecast that natural gas volumes will be supported by steady on-load activity from Phillips 66 and additional wells that come to market from certain third-party customers. In the Powder River Basin, we expect average year over year throughput for both natural gas and crude oil and NGLs to increase slightly based on current producer forecast. We expect our natural gas throughput to benefit from increased customer activity levels, which will be partially offset by the expected loss of on-load volumes as other processing facilities in the basin come back online in the second half of 2025. We expect our crude oil and NGLs volumes to increase slightly, primarily due to increased activity levels and producers targeting reservoirs with higher liquids content. Furthermore, our most active customers continue to allocate capital to the Powder River Basin. And as we exited 2024, about 60% of the active rig count in the basin was operating on acreage that we service. In 2025, in response to our customers' drilling plans, we plan to allocate approximately 30% of our total capital expenditure budget to the basin for additional gathering and compression facilities, which should benefit WES in 2026 and beyond. As a result of this increased investment, we now expect natural gas throughput to grow by a mid-teens average percentage growth rate in 2026 relative to 2025. Finally, we expect meaningful natural gas throughput growth from our other assets, specifically in Utah, to commence during the second half of 2025, driven by increased volumes from the Williams Mountain WES pipeline expansion and the tie in of Kinder Morgan's Altamont pipeline into our Chipeta natural gas processing plant early in the third quarter. With that, I will turn the call over to Kristen to discuss our financial performance during the quarter.
Kristen Shults : Thank you, Danny, and good afternoon, everyone. During the fourth quarter, we generated net income attributable to Limited Partners of $326 million and adjusted EBITDA of $591 million. Relative to the third quarter, our adjusted gross margin increased by $41 million which was primarily driven by increased throughput from the DJ and Delaware Basins. The increase also included the recording of $9.2 million of favorable revenue recognition, cumulative adjustments associated with redetermined cost of service rates, uncertain contracts associated with our assets in South Texas and our DJ Basin oil system. Our operation and maintenance expense remained flat sequentially due to lower maintenance and repair expenses, offset by higher field level personnel costs, increased utility costs and higher surface use land fees related to our produced water business. Going forward, we anticipate a slight sequential quarter decrease in our operation and maintenance expense, consistent with historical trends where the first quarter typically sees the lowest operation and maintenance expense of the year. Our general and administrative expense increased sequentially, primarily due to costs associated with a onetime true up of the annual bonus accrual. Going forward, we would expect our general and administrative expense to revert back towards prior quarter levels. Turning to cash flow, our fourth quarter cash flow from operating activities totaled $554 million generating free cash flow of $309 million. Free cash flow after our third quarter 2024 distribution payment in November was a use of cash of approximately $32 million. In January, we declared a base distribution of $0.875 per unit, which was unchanged relative to our prior quarter distribution paid in November and was paid on February 14 to unitholders of record on February 3. Turning to our full year results, we recorded $1.54 billion of net income attributable to limited partners generating $2.34 billion of adjusted EBITDA, exceeding the midpoint of our 2024 adjusted EBITDA guidance range of $2.2 billion to $2.4 billion. Our adjusted EBITDA performance was primarily driven by increased throughput from all three products in the Delaware Basin, increased throughput from the DJ Basin and a full-year volume contribution in the Powder River Basin from the Meritage acquisition. This growth positioned WES to deliver another year of strong operating cash flow, which totaled approximately $2.14 billion in 2024. Our capital expenditures totaled $790 million in 2024, within our 2024 guidance range of $700 million to $850 million and consisted of capital largely associated with the construction of the North Loving natural gas processing plant and other projects to support the growing needs of our customers in the Delaware Basin. We also began investing capital associated with the new commercial agreements we announced in the second quarter pertaining to our DJ Basin and Utah assets. Our free cash flow generation totaled $1.32 billion in 2024, exceeding the high end of our guidance range of $1.05 billion to $1.25 billion. Finally, WES declared base distributions that totaled $3.5 per unit for 2024, including our recent fourth quarter base distribution of $0.875 per unit. Base distributions paid within the calendar year 2024 were in line with our full-year base distribution guidance of $3.2 per unit. Turning to our 2025 financial guidance, we expect our adjusted EBITDA to range between $2.35 billion to $2.55 billion for the year, implying a midpoint of $2.45 billion which represents growth of approximately 5% year-over-year at the midpoint. We expect that the Delaware Basin will remain our largest contributor at 55%, while the DJ Basin and the Powder River Basin are expected to contribute 30% and 6%, respectively, of our overall adjusted EBITDA. We expect our 2025 capital expenditures to range between $625 million and $775 million implying a midpoint of $700 million. This includes approximately $65 million of the capital associated with yesterday's Pathfinder pipeline and produced water system expansion announcement. The remaining capital will primarily be spent on the completion of the North Loving natural gas processing plant and system expansion opportunities to support our continued commercial success with both new and existing customers in the Delaware, DJ, and Powder River basins, as Danny previously mentioned. In addition, we have begun commissioning the North Loving natural gas processing plant and expect to begin benefiting financially from it as we exit the first quarter of 2025. The completion of North Loving enables us to remain one of the top five largest natural gas processors in the Delaware Basin, and we expect our asset base to continue growing as approximately half of our estimated 2025 capital expenditure budget will be allocated towards the Delaware Basin. We expect to generate free cash flow between $1.275 billion to $1.475 billion in 2025, implying a midpoint of $1.375 billion, which includes the impact of yesterday's produced water system expansion announcement and represents growth of 4% year-over-year at the midpoint. Turning to the distribution, we intend to recommend a base distribution increase of $0.035 per unit starting with our first quarter distribution paid in May. And as such, we're guiding to a full year distribution of at least $3.6 per unit, which includes distributions to be paid within calendar year 2025. This represents a 4% increase compared to our prior quarterly distribution of $0.875 and a 13% increase compared to our prior year's annual distribution of $3.2 per unit. Going forward, as Oscar previously mentioned, we'll be targeting a mid to low-single-digit annual percentage distribution growth rate, which will be supported by growth in the underlying business and incremental free cash flow generation. Additionally, given yesterday's organic growth project announcement and the capital and time required to complete these projects, management and the Board of Directors have decided to not pay an enhanced distribution in 2025. Furthermore, we have made the decision to retire the enhanced distribution concept to further simplify our capital allocation framework and focus on sustainable base distribution growth. Going forward, our capital allocation strategy will prioritize organic growth projects and synergistic bolt-on acquisitions that will provide the support to increase the base distribution at a mid to low-single-digits annual percentage growth rate. As we are successful completing bigger organic growth projects and consummating acquisitions in the future, we may recommend additional distribution increases in excess of our target growth rate. We believe these decisions better position WES to grow and return incremental capital to unitholders while maintaining its strong investment grade balance sheet. I will now turn the call over to John Van den Brandt to provide more details on yesterday's organic growth project announcement.
Jon VandenBrand : Thank you, Kristen. I'm excited to provide you more details about the announcement of the Pathfinder Pipeline that will support the long-term development plans of our customers in the Delaware Basin. First, we will be constructing the Pathfinder Pipeline, which will consist of over 40 miles of polyline steel capable of transporting more than 800,000 barrels of produced water per day before any expansions. Additionally, we will also develop a series of facilities that will aggregate water off of our existing produced water gathering and disposal system and ensure it is delivered onto Pathfinder pursuant to our customers' commitments. Finally, we will also build nine additional SWD facilities in Eastern Loving County located in areas away from high intensity water disposal. These wells will provide us with disposal capacity located in areas where we can focus on accessing strategic pore space in a responsible and ratable-manner on a long-term basis. We are excited that these developments are anchored by a new long-term agreement and corresponding minimum volume commitments with Oxy. By working together, we are de-risking there and our long-term development plans. Given our unique position as the only true large scale gathering and processing operator that provides midstream solutions at scale and across natural gas, crude oil and produced water, we understand the importance of providing real flow assurance to our customers for all of their production streams. With that in mind, we are also strategically sizing and positioning this infrastructure to allow us to work with all of our producers in the Delaware Basin, including those in both New Mexico and in Texas. This midstream infrastructure is also supported by alignment and partnerships with strategic landowners to ensure that we protect mineral interests, unlock access to pore space and protect that pore space through responsible development. This alignment will be critical going forward, and we plan to continue to leverage these relationships and expand on some of our existing agreements to provide even more optionality for our customers over time. We will continue to leverage our producer centric mindset and deep subsurface and technical expertise to design, operate and build produced water infrastructure that is designed to mitigate seismicity and subsurface pressure challenges. Ever since we began building out our produced water assets close to a decade ago. We have been focused on addressing these challenges and we will look forward to taking that a step further by being a first mover and providing an innovative midstream solution to better facilitate the long haul dispersion and disposal of produced water. As we move forward, Pathfinder will allow us to evaluate further expansions to aggregate and transport more volumes to new areas, to provide consistent flows of produced water for potential recycling to upstream customers, and to evaluate alternative solutions and technologies to disposal that can further help us to manage the substantial growth of volumes that we expect to continue in the Delaware Basin over the coming years. This project aligns with our strategy to allocate capital towards organic growth opportunities that yield our targeted mid-teens rate of return over the life of the project. As we work to attract more volumes to the pipeline, not only do we anticipate that the return profile will be greatly enhanced, but we also believe that this platform will open up other opportunities to deploy capital on an appropriate risk adjusted basis. With that, I'll now turn the call over to Oscar for some closing comments.
Oscar Brown: Thanks, Jon. As we enter 2025, WES stands poised for growth, driven by strategic positioning and a history of strong operational and financial performance. The partnership success stems from years of dedicated effort, which has resulted in the formation of robust partnerships with a diversified group of producing customers that presents opportunities for potential expansion. These efforts have included investing in people and technologies to establish WES as a standalone midstream partnership, a focus on debt reduction and driving leverage down from approximately 4.6x in 2019 to just under 3x today. Focusing on strong free cash flow generation, which has helped increase the base distribution 46% above pre-pandemic levels when taking into account the 4% increase we intend to recommend to the Board for the first quarter of 2025 and growing throughput materially across all three product lines by generating incremental business from existing customers and attracting new customers onto our system. While our first five years as a standalone enterprise can be characterized as a period of building out our internal infrastructure and deleveraging, we expect that the next five years will be characterized as a period of growth and additional success. Now that we have constructed two new natural gas processing plants, greatly increased our presence in the Powder River Basin and substantially delevered our balance sheet, we are well-positioned to utilize our strong asset base and balance sheet to capitalize on incremental organic and inorganic growth opportunities. By successfully partnering with Occidental and third-party customers, we have grown our throughput meaningfully over the last five years. The Pathfinder pipeline project anchored by Oxy, coupled with the recently announced contract extension for produced water, as well as the agreement for a 10-year extension to certain minimum volume commitments in the DJ Basin, demonstrate the strength of our relationship with Oxy and our ability to consummate new agreements that benefit both parties. We look forward to further enhancing our relationship with Oxy and collaborating on new opportunities for growth as they continue to execute their development programs in multiple basins over coming years. We will also continue to provide this level of focus and creativity for all our producing customers in order to support their throughput growth objectives. 2025 is shaping up to be a year of strategic investment in organic growth projects for WES, and we expect to grow throughput and profitability at a meaningful rate this year. Our assets are located in the heart of some of the most active basins with the best economics and WES continues to be supported by stable long term contracts that are backed by minimum volume commitments. Our customers continue to allocate capital to the basins we serve, resulting in steady throughput growth, which should be greatly enhanced once we bring our recently announced organic growth projects online. The investments we are making today will ultimately drive increased profitability and free cash flow generation, which will further support sustainable distribution growth and generate leading unit holder returns over time. Before I turn the call over for Q&A, some of you surely noticed Jon VandenBrand joined the call today to discuss Pathfinder rather than Bob Bourne. Bob will be retiring from WES next week after nearly 45 years in the energy industry, including five glorious years here at Western Midstream. He's been a huge contributor to our leadership team and the growth of the partnership over this time and we wish him the very best. Jon is stepping into the role of SVP Commercial, having spent thirteen years with WES and its predecessor companies and will lead our partnership wide commercial efforts. We also wish Jon the very best as we are expecting great things from him and his team as the primary growth engine of the partnership. I also would like to thank the entire WES workforce for all of their continued hard work and dedication to our partnership, which enabled us to achieve landmark accomplishments in 2024. I look forward to seeing what we can achieve in 2025 and updating our stakeholders on our progress toward our goals on our first quarter call in May. With that, we will open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Spiro Dounis at Citi.
Spiro Dounis : Thanks, operator. Afternoon, everybody. I want to start maybe with the growth outlook. You sort of changed your capital allocation framework a bit here and introduced this new target for distribution growth at low to mid-single digits. Kristen, it sounds like your comments suggest that should kind of more or less mirror EBITDA growth going forward. So to our question here, curious, I mean, how did you come up with that amount, and why that's the right amount going forward? And as you think about the capital spending necessary to drive that growth, what kind of levels are you thinking about there?
Kristen Shults : So we obviously do quite a bit of forecasting and planning going out pretty far and looked at to your point, Spiro, what we expected growth capital to be, what that would do to EBITDA and then what we felt was a sustainable base distribution growth level that we could continue to support into the future. And so after going through that, that's how we came up with the mid to low-single-digit distribution growth there. From a growth CapEx perspective, you know, we've historically said if you go back to our 2022 capital spend that we had in that year, that would be something that would keep us relatively flat to a little bit up from a growth perspective. I think what we're seeing right now from a pipeline perspective, both in the PRB with the inter introduction of Pathfinder, are quite a few organic growth projects that we've got. And so I'd expect for a little bit of time now, to have, you know, incremental capital that's spent to bring these projects to fruition. Capital specifically related to Pathfinder, we talked in the script about it being $400 million to $450 million spending $65 million this year. And so that there'll be quite a bit of organic growth capital for next year to get that pipeline constructed. And then PRB is around $200 million of our capital spend for 2025. Obviously, as we get into 2026, we'll have to take a look at how the basin continues to do from a growth perspective, but it's we're very optimistic about the future in the PRB as well.
Spiro Dounis : Got it. Got it. Very helpful. Second one, just going to Pathfinder, pretty big gap between the sort of size of the pipeline at 800,000 a day versus the initial contract from Oxy. So I guess curious on a few fronts here. One is that initial contract from Oxy effectively underwriting that entire 800,000. And as you think about pulling up that base, what does that do to the return multiple over time? And do you expect to kind of do that by 2027 or 2028 or could that take a little more time?
Jon VandenBrand: Hey, great question. This is Jon. I think there's a couple of things to think about right? Not all of the capital is going to be spent on that transportation pipeline that we're upgrading. A lot of it is also to connect the systems together to the existing system we have and also to build out some additional disposal capacity on the Eastern side of Loving. But when you do look at it, that most efficient capital you can spend on these projects is to upsize that pipeline. And you're right, we do think that the contract that we have in hand with Oxy today is helping us to get to that very midstream centric rate of return, where we can spend that capital and get those returns. We also think though that that sets us up to go get a lot more opportunity that we can put onto that pipeline and really accrete that rate of return significantly higher from where it is today where we're already happy with it. And so I think that just goes back to what we think of the size of the price here, which is really trying to position ourselves to be aligned with what is a very large challenge and opportunity about dealing with all the produced water growth in the basin and finding out how to responsibly disperse that to areas where it's more responsibly disposed of over time. And so we think, right, the rate of return is exactly what we need from a Midstream perspective, but we also want to be opportunistic and set ourselves up with very efficient capital to go capture even more of that growth over time as that comes our way.
Operator: Your next question comes from the line of Keith Stanley at Wolfe Research.
Keith Stanley: Hi, good afternoon. Wanted to follow-up on the last question and just check-in if you've already if you're already actively in discussions with other customers to help fill up the pipeline at this point to improve returns?
Jon VandenBrand: No, absolutely. I think the background we'd give you there is that this isn't a discussion that just happened overnight. We've been actively working something like this for a long time and then it takes a lot of time to really work not only with the producers, but also with the landowners and how you have to progress this also from a regulatory regime. So one thing we're really focused on is getting in front of all those discussions and I'd say absolutely the way we've the pipeline is designed in a way to have open discussions with a lot of other producer customers. And certainly, as we go over the next two years in terms of building and executing on that development of the infrastructure, we'll continue to have those and put it to a point where we can hopefully put some more volumes on the system.
Keith Stanley: Great. And another follow-up one on water. Can you talk a little bit about who you see as your main competitors in Permian produced water today? And thinking longer term, what the opportunity set is to try to grow the water business and potentially consolidate it over time?
Oscar Brown: Hey Keith, it's Oscar. I'd jump in here and then turn it back over to Jon. But one thing I'd say, this is a really unique solution. It's very much a midstream construct, right? Our contracts look like midstream contracts. This is a major project and it's a long term solution. So we think this is a bit of a different business model. And then developing this with Oxy and then in our discussions with other potential customers, this is a solution that works for the long term unlike some of the other kind of shorter term or oilfield service type solutions out there. So I just wanted to start with that and then maybe Johnny can talk a little bit about altogether.
Jon VandenBrand: Yes. I think we're less focused on necessarily the competition as we are on value we've created on our water system, but we've certainly kind of constrained ourselves there because we're not willing to deploy capital at rates of return that aren't acceptable or to take on risk that we don't want to, or that we don't have a proper mitigation for. And so really here, I think it's like Oscar said, this is a long term midstream solution where we see we're actually moving it in a differentiated way and to the extent which we do believe that it goes more in that direction, we're absolutely looking at seeing ways that we can grow off of that platform.
Operator: Your next question comes from the line of Jeremy Tonet at JPMorgan.
Noah Katz : Hey, this is Noah Katz on for Jeremy. Thank you for the question. First, I want to touch on the new long term produced water gathering and disposal system agreements with Oxy. Are there any other contracts with Oxy that you would consider extending going forward? And what would these contracts most likely be centered around?
Oscar Brown: Maybe the, it's Oscar. The extensions in general, I mean, we've already announced, extensions on the gas side and the DJ. So there's opportunities with all customers. And we work on that all the time. John's pretty busy on that and, contract extensions in general. But, I don't know if you meant specifically to water or.
Danny Holderman: Yeah. Water.
Oscar Brown: I think we have long Okay.
Danny Holderman: Yeah. We have generally long-term contracts, especially on the Oxy side, but throughout the portfolio with everyone. And like Oscar says, we're continually looking to maintain and extend those.
Oscar Brown : I think anyone who's got substantial production, particularly in Western and Northern Delaware Basin, has got to be looking at water, for the long-term. And what you're seeing here in this sort of new construct is sort of the first step in those long-term solutions. Again, you probably know this, but the water to oil ratio is sort of 3x to 12x in the basin. So we're pretty good at producing a lot of water and then some other hydrocarbons too. And so it's a big and growing challenge and we think this is a great way to sort of start mitigating that problem.
Noah Katz : Sounds good. Thanks for that. And then as a follow-up, looking ahead to 2026 CapEx, what are your initial thoughts, I guess, on the CapEx range there with the $360 million from Pathfinder flowing into the range? And what can we expect steady state to be going forward, I guess, ex the Pathfinder CapEx? And would 2026 CapEx be similar if the Powder River Basin CapEx is the same year-over-year?
Kristen Shults : Yeah. So kind of pulling that apart into a few pieces. Obviously, expect 2026 capital to be higher than what you're seeing for 2025 just as we add in the vast majority of Pathfinder into 2026. From there, what I would say is it's very much dependent on, additional growth that we see in the PRB and what that looks like. The landscape up in the PRB is just so vast. And so, building out to capture more volumes that are at the rate of return that we want it to be at, it's going to cost a little bit of money up there. The other aspect is, as Jon was mentioning, just the, you know, incremental customers that we would bring on to Pathfinder and, thus, the infrastructure required to bring them on to Pathfinder, that those dollars amount that capital would be impacting 2026 and, obviously, periods beyond that. So I think in general, your kind of normal run rate capital is a little bit higher than it previously was with us just because, we have grown. Right? Like, we've grown more with the Meritage acquisition and we've grown more in the PRB. We still continue to put quite a bit of capital to work in the Delaware Basin because it is the main growth engine of the company. And so between all the areas that we have that are growing as well as just organic new projects that we're coming up with like Pathfinder, you're going to see that capital needs to be a little stronger going forward.
Noah Katz : Thanks for the color. And Jon, Jeremy wanted me to say he's excited for you to come to be back. So I'll leave it there. Thanks.
Jon VandenBrand : Appreciate it.
Operator: [Operator Instructions] Your next question comes from the line of Manav Gupta at UBS.
Manav Gupta: Good afternoon. My question here is you mentioned that you could be looking to grow through bolt-on deals. I'm trying to understand, can you give us some criteria which would make a deal a good bolt-on deal for you guys, rate of return, kind of investment, synergies, if you could just help us talk through those things?
Oscar Brown: Yes. Thanks for that. It's Oscar. It's very consistent the way we've always thought about acquisitions in the past. So of course, we're a little biased towards organic growth, which you're seeing some of the results of that here today. But on the inorganic side, obviously, it needs to fit with our competencies, be in our complementary to our existing geographies. From a returns perspective, obviously, needs to meet our typical midstream returns requirements. We'd like to be able to bring and add some value to any acquisition and generate a level of synergy there. So it's sort of pretty typical stuff and hopefully not too surprising and very much again the template that we like to point to is a Meritage deal where we check all those boxes pretty well. So nothing new, but that's the criteria.
Manav Gupta: Perfect. Second quick follow-up is Slide 16 looks like you outperformed versus the guidance, moving to Slide 19, particularly interested in what could drive the free cash flow towards that $1.475 billion or maybe even above it as you were able to do in 2024 where you beat your free cash flow guidance?
Kristen Schultz: Yes. I think a lot of it just has to do with how we perform from obviously, the components of free cash flow. Right? So on adjusted EBITDA, a big part for us is just producers and the expectations that we have around, throughput and when that's going to come on to our system. So, if they're exceeding the expectations and the forecast we have and that throughput gets on a little bit earlier, those type of things can make, you know, a big difference in our adjusted EBITDA. We also have our fixed recovery contract. So there is a commodity aspect to everything for the barrels and the product that we get to keep and sell. Cost savings, and what we do from a standpoint of that, it can help there. And then I would say on the capital expenditures piece, where we fall in that guidance range will also play a major impact on the free cash flow. With Pathfinder, that's obviously a very large project. And so as we keep heading through the year and see, maybe if there's pieces that we can accelerate that might push some more capital into this year, or things are taking a little bit longer, pushes it into next year. But whenever we have these larger, chunkier projects, that's where you can see the capital move around a little bit more as the year continues.
Operator: Your next question comes from the line of Ned Baramov at Wells Fargo.
Ned Baramov : Hey, good afternoon. One more question on capital allocation, if I may. So the Board recently authorized the $250 million buyback program and you just talked about CapEx guidance and elevated capital requirements into 2026. You also laid-out, the planned distribution increases. So it doesn't seem there is much room for unit repurchases. So could you maybe walk through how you think about the timing of buybacks and whether leaning into balance sheet capacity is something you would consider should the unit prices present an attractive opportunity for buybacks?
Oscar Brown: Sure. Thanks for the question, it's Oscar. So yes, it's really this one's really just good housekeeping. We agree with the growth projects we have and serve all the opportunities in front of us. So it's unlikely, we would do much on that program at least in the near-term. It's nice to have one of those there if there's some significant market dislocation or some other event. But literally our last program just expired, so we just wanted to put something in place. But don't take it as a strong signal that that's something that at least in the current environment that's on our mind.
Operator: Thank you. There are no further questions at this time. Mr. Oscar Brown, I turn the call back over to you.
Oscar Brown: Great. Thank you so much for your interest and your questions today. We look forward to talking to everybody on the road, but also in May in our next call. And thanks again to our WES team for all the work they've done and where we're headed with the company. Really looking forward to the future and the next earnings call. Take care.
Operator: Thank you. This concludes today's conference call. You may now disconnect your lines.